Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Pizza Pizza Royalty Corp.'s Earnings Call for the Third Quarter of 2025. [Operator Instructions] After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded on November 5, 2025. I will now turn the call over to Christine D'Sylva, CFO.
Christine D'Sylva: Thank you. Good morning, everyone, and welcome to Pizza Pizza Royalty Corp.'s Earnings Call for the Third Quarter ended September 30, 2025. Joining me on the call today is Pizza Pizza Limited's Chief Operating Officer, Philip Goudreau. Just a quick note, our discussion today will contain forward-looking statements that may involve risks relating to future events. Actual events may differ materially from the projections discussed today. All forward-looking statements should be considered in conjunction with the cautionary language in our earnings press release and the risk factors included in our annual information form. Please refer to the earnings press release and the MD&A in the Investor Relations section of our website for a reconciliation and other disclosures related to non-IFRS financial measures mentioned on this call. As a reminder, analysts are welcome to ask questions after the prepared remarks. Portfolio managers, media and shareholders can contact us after the call. With that, I'd like to turn the call over to Philip to introduce himself and provide a business update.
Philip Goudreau: Thank you, Christine, and good morning, everyone. As Christine mentioned, my name is Philip Goudreau, the Chief Operating Officer at Pizza Pizza Limited, and I'm standing in today for Paul Goddard, our Chief Executive Officer, who was planning on being on today's quarterly call, as always, but due to a delayed and diverted flight overseas, he will still be in the sky during our call today. So he's unable to join. Paul sends his regrets for not being here today. I've been with Pizza Pizza Limited for 14 years in various senior roles, including Senior Vice President of Operations and Development out West, leading the Pizza [ W2 ] brand since 2011. And in 2019, I was promoted to the Chief Operating Officer at Pizza Pizza Limited working closely alongside Paul Goddard for many years, along Christine D'Sylva, our Chief Financial Officer; and the rest of our elite and senior management team. Like Paul and Christine, I'm also an executive management representative, Pizza Pizza Limited and each of the Pizza Pizza Royalty Corp. Board meetings. I'd like to start this call off by stating how proud we are of our network of franchisees, our partners and our entire team and staff of Pizza Pizza for their unwavering support resilience working tirelessly in this ultra-competitive environment. Working together, we remain laser focused on improving speed and quality of service and delivering favorable new options -- sorry, incredible new offerings that will continue to differentiate our brands and drive growth. This quarter, our brand reported a compound same-store sales growth of 0.1%, with Pizza Pizza restaurants reporting 0.3% growth and Pizza 73 restaurants reporting a decline of 1.1%. For the second consecutive quarter, we're happy to see growth in Pizza Pizza's organic delivery channel, which has helped increase our average check. However, at both brands, we saw an overall decrease in transactions as we faced heightened competition and we saw the impact of reduced consumer spending, mainly and earlier in the quarter in July. The trend is impacting much over much of the QSR industry, but since we can't control the macroeconomic environment, we're staying proactive and focused on our fundamentals or sharpening our value messaging, optimizing partnerships and promotions and continuing to invest in digital and loyalty to drive customer frequency and retention. The third quarter is always a busy quarter for our nontraditional locations and special events partnerships. As a reminder, our nontraditional sales typically account for 10% of our total sales and it has been exciting to see the special events in nontraditional locations active again this summer. We saw Pizza Pizza and Pizza 73 brands come alive in communities across Canada via our best-in-class sponsorships and marketing program. In addition to record sales at critical events like the CNE in Toronto and the Calgary Stampede in Calgary, our team innovated our product offerings at both this year, and we introduced a deep fried pizza on a stick. This fun promotion drove national media attention and helped double our sales at the CME versus previous years. Pizza 73, we employed a layered approach to Stampede this year to leverage our strong brand position with the key annual cultural event in Calgary. The partnership that was brought to life in restaurants on the festivals grounds and across social media channels, our digital presence, partnering with content creators highlighted our food innovation. And as a brand, we developed something that was a lot of fun, the pony express where we had a real cowboy on real horse delivering with saddle bags, delivering pizzas in Calgary. This media campaign garnered over 1 million social impressions and brought the event to life in our stores through a Stampede special combo in partnership with our partners at Coca-Cola. Speaking of brand-building promotions and engagement, we also build our brand engagement through exciting menu innovations. As interest in fried chicken items continue to grow, when we introduced our new chicken tenders at Pizza Pizza and new wing flavors at Pizza 73. The chicken tender offering posed an opportunity to deliver more individual stackable options within our existing chicken assortment, and it also provided an opportunity to speak to our well-known and loved assortment of dips. Additionally, at Pizza 73, we leaned into our brand's best-in-class 100% fresh wings with 2 new delicious flavors. We continue to see success promoting our key value offerings as Canadians look for ways to save on food and without comprising quality. This quarter, we continue to promote our differentiating 18-inch, double XL, 2 Topper Pizza deal at $19.99. This is one of Canada's best deals on pizza and has become a core stone of our menu from coast to coast. We continue to support this deal with broadcast, out-of-home and digital and have been seen a significant shift in our assortment of customers trade up to the higher and larger size. To further solidify our value credentials this quarter, while staying relevant and topical we brought back early on in the quarter, a reverse tariff discount supporting the deal with a new TV and digital video. This offer was once again a hit and it help support not only the volume messaging, but our credibility as being truly Canadian, authentically Canadian, because we truly are. All of our promotions and activations would not be successful from the time of placing your order to receiving your pizza, if not for an array of ordering channels from placing an in-store order, to calling in, ordering online or in-house developed website apps and order taking platforms that really support the business 24 hours a day, 7 days a week for both brands. And with the rollout of our visual delivery tracking feature, similar interface that we would see on third-party platforms, we're able to improve our customer experience and the average speed of delivery this year is significantly better than a year ago. As we look towards rebuilding our loyalty program and improving our customer ordering experience, we are currently redesigning and enhancing our web and app extensions for customers. These enhancements will not just improve the speed and simplicity of ordering, they will improve our loyalty functionality and data-driven insights. We'll continue to further distance ourselves from the competition with our ongoing tech advantage with more customer-focused capabilities as time goes on, please stay tune for future updates earlier next year. Before I turn things over to Christine, I just wanted to discuss our restaurant network growth. We ended the second quarter with a total of 811 locations in Canada, we're really excited for achieving the 800 location milestone. 706 of are our Pizza Pizza sites and 105 are Pizza 73s. We opened 4 traditional and 10 nontraditional Pizza Pizza locations during the quarter. Meanwhile, at Pizza 73, we opened up 2 traditional locations. We also closed 1 traditional and 3 nontraditional Pizza Pizzas and 1 traditional Pizza 73. While our growth has been a little slower than in the past, we're also being a lot more discerning about where we grow and how we grow. That said, we do expect to pick up the pace of growth in the last quarter of this year as we still expect to grow our traditional business of traditional network by 2% to 3%. While we continue our restaurant development, we also continue the exciting renovation programs and refresh programs with our traditional core business. We have over 95% of our traditional Pizza Pizza stores having the new look. Our restaurant features have a refresh on the interior and exterior and significant upgrades made in regards to equipment such as more efficient ovens, digital menu boards and further in-store technology. As I close off here, we are now in our busiest quarter of the year, and we'll see us continue to leverage our brand assets, our strengths as we implement new and timely promotions, backed by our core product propositions, ongoing menu innovations, conveniently located restaurants and an award-winning tech platform and a fully staffed and led customer contact center. We look forward to closing off the year in strong fine form. Thank you for listening in. And now I'll hand things over to Christine D'Sylva, our Chief Financial Officer, and she'll provide an update on our details on our financials.
Christine D'Sylva: Thanks, Philip. As a reminder, Pizza Pizza Royalty Corp. is a top line restaurant Royalty Corp. that earns a monthly royalty through a license agreement with Pizza Pizza Limited. In exchange for the use of the Pizza Pizza and Pizza 73 trademarks in its restaurant operations, Pizza Pizza Limited pays the partnership a monthly royalty as a percentage of Royalty Pool sales. Growth in the Corp is derived from increasing same-store sales of restaurants in the Royalty Pool and by adding new restaurants to the Pool each year. As previously announced, on January 1, 2025, the Royalty Pool increased by 20 restaurants. So for fiscal 2025, there are 794 restaurants in the Royalty Pool comprised of 694 Pizza Pizza and 100 Pizza 73. So with that brief information, let's turn to the financial results for the quarter. As Philip mentioned, same-store sales, the key driver of yield growth for shareholders increased 0.1% for the quarter, with Pizza Pizza restaurants reporting sales growth of 0.3% and Pizza 73 restaurants supporting a decline of 1.1%. The combination of the 20 new restaurants added to the Royalty Pool and the same-store sales resulted in an overall increase to Royalty Pool system sales and the corresponding royalty income. Royalty Pool System Sales for the quarter increased 2% to $158.8 million from $155.8 million in the same quarter last year. By brand, sales from the 694 Pizza Pizza restaurants in the Pool increased 2.3% to $138 million for the quarter, while sales from the 100 Pizza 73 restaurants was unchanged at $20.8 million for the quarter. The partnership's royalty income earned as a percentage of Royalty Pool sales increased 1.9% to $10.2 million for the quarter. Beyond royalty income, the partnership also earns interest income on its cash and short-term investments. For the quarter, the partnership earned $37,000. This decrease from the prior year as the overall balance decreased and the rate applicable on that balance decreased. Now turning to partnership expenses, administrative expenses, including listing costs as well as director, legal and auditor fees, were consistent with the prior year. This quarter, they totaled $181,000 compared to $176,000 in the prior year. In addition to administrative expenses, the partnership is making interest-only payments on its $47 million credit facility. Interest paid in the quarter was $444,000 and as a reminder, in March of 2025, the company renewed the facility for 3 years with maturity now set for April 2028. The balance of the facility remains unchanged, however, the credit spread table increased slightly, with the lowest tier increasing from 0.875% to 1%. Additionally, in April of 2025, the partnership entered into a new 3-year forward swap. The new 3-year swap commenced when the existing one expired. The locked-in rate is now 2.51%, which is an increase in the maturing swap of 1.81%. The overall all-in rate for the credit facility for the next 3 years will be 3.51% compared to the maturing rate of 2.685%. And after the partnership received royalty and interest income, pays administrative and interest expense, the resulting net cash was available for distribution to its 2 partners based on their ownership. After the 2025 vend-in, Pizza Pizza Limited's ownership increased to 26.2%. Pizza Pizza Royalty Corp. shares in the remaining 73.8% of the partnership. It pays taxes on its share of the partnership earnings and any residual cash is then available for dividends to company shareholders. The company declared shareholder dividends of $5.7 million for the quarter or $0.2325 per share, which was consistent with the prior year. The payout ratio for the quarter was 111% and resulted in the company's working capital decreasing $800,000 to end the quarter at $4 million. The $4 million working capital reserve is available to stabilize dividends and fund other expenditures in the event of short- to medium-term variability in sales and thus royalty income. The company historically has targeted a payout ratio at or near 100% on an annualized basis. And we continue to do so. That concludes our financial overview. I'd like to turn the call back to our operator to poll for questions.
Operator: [Operator Instructions] The first question comes from Derek Lessard of TD Cowen.
Derek Lessard: Philip. Nice to meet you, who needs Paul anyway, right? The 1 question I had was I was curious if you saw a change in, I guess, consumer behavior from Q2 where you guys reported a nice modest same-store -- positive same-store sales print to the current quarter where it was kind of flattish.
Christine D'Sylva: I think, Derek, in terms of overall consumer behavior, we're definitely seeing a shift. We're seeing customers reducing their frequency of visits, and that's now been increasing the competitive landscape because everyone's fighting for those visits. We're also seeing them continue to be more discerning in how they're spending their dollars. They're managing their overall spend, so they might not be adding the dips and the pop to their orders, the to get their pizza from us. So we are seeing that aspect happening. And we're also continuing to see a shift in how they're getting their pizza. I think we've talked about in the past where we've seen an increase in our pickup channel, and we continue to see a pickup increase this year at both brands. And in fact, at Pizza 73, where we used to be 90% delivery and 10% walk-in pick up. We're seeing a shift to where the walk in and pick up at that brand is almost 25%. So that is definitely something we are seeing overall. But I think in terms of this quarter, we were definitely impacted by weather in the early part in July. Additionally, the fact that there was a Canada Post strike. So we made the decision to not issue flyers in July, definitely did impact the business at that point..
Derek Lessard: And whether in what way, Christine, was it -- remind me, we are...
Christine D'Sylva: Yes. If it was poor weather in July, so a lot of our outdoor events were definitely impacted and in Alberta, so Philip can speak more to this, they were impacted by tourism and the fact that BAM and those kinds of locations were not getting as many tourists from the U.S. So that definitely did impact our July month. We did see, though, that as the quarter progressed, then did pick up in the right direction.
Derek Lessard: Okay. And maybe just a follow-up to that, Christine. You guys are, I'd say, the environment is, obviously, it's not necessarily I guess, conducive for delivery sales, but it looks like you guys did get some pretty good organic growth there and you're punching above your weight. Just maybe talk about the drivers behind that?
Christine D'Sylva: Definitely, so -- go ahead, Phil.
Philip Goudreau: Yes. On my end, Derek, what we've been seeing is just year-over-year, where we have a customer tracking system that is really helping our franchisees and our team just control and making sure that we're exceeding customers' expectations. And we're about a minute quicker this year than we were last year on deliveries, and we could tell exactly where the delivery driver is at any given moment and it just helps plan things out. So I do feel that we're seeing less third-party business. But internally, we're getting our organic deliveries. And we've basically been seeing improvements week after week, period after period for the last few, which we're pleased with.
Christine D'Sylva: We're also doing a lot more specials like the XXL, where you're ordering a bigger item and typically, that would lead to people having others over so they want to deliver to their house. And to talk more to the tech that Philip was mentioning, we're alerting customers via SMS when their order is being delivered, so that they know to go in and track their orders. So we're trying to engage customers more on our organic platform to keep them there and we want them to stay on that platform. It's just more profitable For our overall [ value ].
Derek Lessard: Okay. Okay. Makes sense. And I guess last quarter, you had, if I recall correctly, some timely I think, sports-related marketing campaigns, curious if any of that carried over into Q3? And maybe just a comment on any traction from the long Blue Jays run.
Christine D'Sylva: Yes. So the long Blue Jays will definitely impact our Q4, definitely the October baseball is something we did. And I think you would see in the market over the last few weeks, we actually partnered with Vladimir Guerrero Jr. for our XL pizza, so that's a Q4 impact that we would be seeing from that one. But definitely, it's the love of baseball across Canada and the fact that we are a Canadian pizza brand, and we have locations across the country, definitely will be at Q4.
Derek Lessard: Well, there was definitely a lot of eyeballs, right? I think there was 10 million Canadians who tuned in to Game 7?
Christine D'Sylva: Yes. And I think right away, as Vladimir hit his first home run, we had a XXL commercial on, so it was great. So timing was perfect. So yes, Q4 is definitely a big sports quarter for us with October baseball and then the start-up, our partnerships with all of the NHL teams across the country and the [ roster.] So we're excited for sports. A big driver for us.
Derek Lessard: Okay. Awesome. Maybe one last one for me. You get on the 800 stores. Just maybe talk about -- we don't talk about it often, but maybe just -- could you just talk about the progress on the Mexican initiative?
Christine D'Sylva: Yes. So we currently have 4 locations in Mexico. It's our first foray into that international expansion. It's slower than we would like, but we know that the partners down there are very much committed to it and so is our management team here at Toronto. There are a few more in the hopper towards the end of the year. But it's definitely a market where we see significant amount of potential. The Mexican pizza market is actually greater than the American pizza market. So once we get this region of Guadalajara up and running, it will definitely be gravy for all of our PPC investors.
Operator: Ladies and gentlemen, there are no further questions at this time. That concludes today's conference call. Thank you for your participation. You may now disconnect.